Operator: Thank you for attending today's OLB Group 2021 Year-End Earnings Call. My name is Jason and I'll be your operator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] Apologies, there will be no question-and-answer section of this call. If you'd like to ask a question, please email them directly to our management team. I would now like to pass the conference over to our host Matthew Kepke, The Corporate Counselor.
Matthew Kepke: Thank you. As we start with our Safe Harbor statement, all statements from The OLB Group Inc. in this conference call that are not based on historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the provisions of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended. These forward-looking statements include, but are not limited to, statements concerning the impact of COVID-19 on our operations and financial condition, our ability to implement our proprietary merchant boarding and CRM system and to roll out our Omni Commerce and SecurePay applications, including payment methods, to our current merchants and the integration of our secure payment gateway with our crowdfunding platform, our ability to successfully launch a cryptocurrency mining operation and our ability to earn revenue from the new operations. While the Company's management has based any forward-looking statements contained herein on its current expectations, the information on which such expectations were based may change. These forward-looking statements rely on a number of assumptions concerning future events and are subject to a number of risks, uncertainties, and other factors, many of which are outside of our control, that could cause actual results to materially differ from such statements. Such risks, uncertainties, and other factors include statements regarding the expected revenue and income for operations to be generated by The OLB Group, Inc. For other factors that may cause our actual results to differ from those that are expected, see the information under the caption Risk Factors in the Company's most recent Form 10-K and Form 10-Q filings and amendments thereto, as well as other public filings with the SEC since such date. The Company operates in a rapidly changing and competitive environment, and new risks may arise. Accordingly, investors should not place any reliance on forward-looking statements as a prediction of actual results. The Company disclaims any intention to, and undertakes no obligation to update or revise any forward-looking statement. Ronny, I'll turn over to you. Ronny Yakov, are you on mute?
Ronny Yakov: Hello. Thank you everyone. And thank you for taking the time to be with us on the call for the earnings call. And now, I would like to introduce you to Rachel Boulds, our CFO; and Patrick Smith, our VP of Finance. Rachel, please start.
Rachel Boulds: Sure. Hi. I'd just like to go over a couple of our financial highlights for year ended for December 31, 2021. We saw an increase in our total revenues this year that were up about -- they went up about $6.9 million to $16.7 million, a good portion. The majority of that increase was a result of an increase in our transaction and processing fees. Those increased 7.5 million to 15.8 million over the prior year. We also saw an increase in our total assets for the year over prior year. Our total assets increased about $30.4 million up to 40.6 million at year ended December 31. The increase is mainly attributed to an increase in our property and equipment in our intangible assets. And those two combined accounted for little about $30.2 million of increase. And those two combined with $32.9 million of our total assets at the end of the year. Ronny, do you want to talk about offerings if you want to be able to do that?
Ronny Yakov: Yes. Thank you, Rachel. This, the April 2021, we raised two rounds of financing one of them was in August $6 million and another one on November $25 million. With those capital raises, we achieved a lot of a very short time, and I want to mention that the Company's debt free, you have no obligations, not short or long-term obligations to anyone. Maybe Patrick, you want to talk about the achievements that we did on the acquisition side?
Patrick Smith: Yes, thanks Ronnie. In 2021 we had two different, what I'd say significant acquisitions. That first happened in August and it was the acquisition of exclusive rights to gas supply and prices with CAI Energy. This was an acquisition that allowed us to -- allowed us to have access to natural gas when we use that natural gas to power generators that actually power our Bitcoin miners up in our Pennsylvania operation. So that was the first one that we did. The second we did was in the fourth quarter of 2021. We purchased a CBD portfolio. We say CBD but especially a merchant processing portfolio. The majority of the purchase at merchant is actually do business in the CBD business or industry. But one of the things about that too is we were able to not just purchase the merchants, we purchased the processing agreement with Pfizer, we processed -- purchased all these sales channels to sales agents. Basically, we were able to keep everything intact and this allows us to have growth going forward. It keeps everything intact for the growth, for the sales and for the channels. Can I turn it back over to Ronnie so he can talk a little more about the basically after the acquisition of CAI Energy, we created a subsidiary called DMint for the Bitcoin mining. Ronnie?
Ronny Yakov: Yes. So, we created DMint and when we created DMint, we already invested close to $10 million in our fix machines. We purchased 1,000 hours fix machines that are in the implementation mode, as we speak, and everything is being paid already and machines are running. We started very late at 2021. We had a chance to run almost a month and a half only in this case. We have already a Bitcoin mine in this respect. And we also engage in two mining locations. One of them is in Bradford, Pennsylvania, in the forest valley area, and another one is a facility that is near the Bradford Airport in this respect. So Patrick, maybe you want to talk about the CBD acquisition.
Patrick Smith: Sure. This acquisition was very significant to the Company. It increased the Company's merchant base and also tremendously increased the merchant processing volume. In the year, we were on a run rate of around $1.3 billion in merchant volume processing. This was a significant increase to our previous year. And we also increased the total number of merchants went from about 8,500 to around 10,500. That was, like I said, that happened in the fourth quarter. And that was part of the increase in revenue that you said was seen year-over-year. As Rachel said, we increased 82% from 2020 to 2021, the majority of it was -- significant was due to this portfolio purchase. The acquisition is what it called a [Bin Transfer]. We were actually able -- to get the bank identification number, we'll be able to control the full process of what we purchased. So, it is a purchase of a portfolio of subset of a significant processing business. At this time, we turn it over to Ronnie so he can actually talk about couple of our products that we have over an eVance side secure pay and there's other services. Ronnie?
Ronny Yakov: Sure, thank you, Patrick. So, we have the payment gateway that is SecurePay. And SecurePay basically is a similar gateway to companies like Authorize.Net and Stripe. With this, we're creating the ability of having payment gateway that would allow us not to do great couple of actions, but would allow us to do transactions that are related to cryptocurrencies, managing the accounts and also given the ability to the merchants to have their own dashboard and they can control all their financials in this respect. Now, we also offer other merchant services like cryptocurrencies and those cryptocurrencies are a pretty much at the beginning. We are also in the process of applied for a BitLicense. BitLicense is another subsidiary called Oilbit that we created in 2021. We invested significantly in this area, and will be able to offer services of grading and services of finances to cryptocurrencies. Another significant service that we are integrating and we did this acquisition only January this year, but discovered the process late last year that is about Crowd Ignition. Crowd Ignition is a service that we provide for crowdfunding. That is, [Lexi] app, that is approved by FINRA. [Indiscernible] to those services, Blockchain services that are related to transactions with Blockchain, getting loans to small merchants, and defy financing product. This process is already in motion, and we're going to start offering it pretty soon this year. Now, the whole idea of the merchant is to have a one stop place for all their financing. So from getting the transactions getting the money paid, they can leave the money with us and we can do investments on it. Do you want to add anything to that Patrick as well?
Patrick Smith: No. I think the thing is what Ronny was trying to say is we're in the process between the, from the Bitcoin to the BitLicense, to the processing, to the merchant piece. We're trying to create a single ecosystem for the merchant to be able to do everything that they need to do from processing to crypto payments to loans, defy. We have got other new services that we plan to offer to the merchants.
Ronny Yakov: So, we achieved the 82% increase practically majority happened in the four quarter with acquisition. We are very excited about the future and we have pretty much a good vision over the coming year as far as increase of revenues in the Company and profitability as well. The same thing we feel about the Bitcoin mining. We had at the beginning difficulties to start with it. Now we on track and the CAI Energy replaced the current operator with greenhouse operation, and we already started to do more and more to install more machines. I want to mention also that during the last two quarters, people had a lot of questions asking things. So, we decided to create an area in our website that if someone has a question, they can post the question and we're going to answer it online in this respect.
Patrick Smith: I think that's all for us on this side. I don't know if Ronny had anything else you want to say or Matt or Rachel.
Ronny Yakov: No. We're publishing tonight the financial statements, and if anyone has questions, email us. We'd like to answer that. Thank you everyone.
Patrick Smith: Thanks everybody for their time. Look forward to hearing from you.
End of Q&A: That concludes The OLB Group 2021 year-end earnings call. Thank you for your participation. You may now disconnect your lines.